Operator: Hello and welcome to Jianpu Technology Inc.'s Fourth Quarter and Fiscal Year 2019 Earnings Conference Call. Today’s conference call is being recorded.  At this time, I'd like to turn the conference over to Liting Lu, Jianpu’s Investor Relations. Please go ahead.
Liting Lu: Thank you, operator. Please note the discussion today will contain forward-looking statements relating to future performance of the company. These statements are within the meaning of the Safe Harbor provisions of the U.S. Private Securities Litigation Reform Act. Such statements are not guarantees of future performance and are subject to certain risks and uncertainties, assumptions and other factors. Some of these risks are beyond the company's control and could cause actual results to differ materially from those mentioned in today's press release and these discussions. A general discussion of the risk factors that could affect Jianpu's business and financial results is included in certain filings of the company with the Securities and Exchange Commission. The company does not undertake any obligation to update this forward-looking information, except as required by law.  During today's call, management will also discuss certain non-GAAP financial measures for comparison purpose only. For a definition of non-GAAP financial measures and a reconciliation of GAAP to non-GAAP financial results, please see our fourth quarter and fiscal year 2019 earnings press release issued earlier today via wire services and also posted in the Investor Relations section of our website. As a reminder, this conference is being recorded. A live and archived webcast of this conference call will be available on Jianpu’s website at ir.jianpu.ai. Joining us today on the call from Jianpu's senior management are Mr. David Ye, Co-Founder, Chairman and Chief Executive Officer; and Mr. Oscar Chen, Chief Financial Officer.  I will now turn the call over to Mr. Ye, who will provide an overview of the company as well as performance highlights of the fourth quarter and fiscal year 2019. Mr. Chen will then provide details on the company's financial results and business outlook before opening the call for questions. Mr. Ye, please go ahead. 
Daqing Ye: Thank you, Liting. Hello, everyone and thank you for joining us on our call today. We continue to enhance our vision, and execute on our funding strategy and mission, which is to become everyone's financial partner. We are operating in a rapidly evolving environment that brings with it both significantly challenge as well as new opportunities. And with our leading proprietary technology and deep ecosystem, we are uniquely suited to capitalize on new developments and deliver solid value to our customers and all the stakeholders.  With that, I'd like to start by outlining the backdrop of the operating environment in the fourth quarter and full year 2019.  Last year, we realized early on it was going to a challenging year. And we proactively made significant changes in order to repositioning our company target to achieve the balance between growth and efficiency. The challenges were not only from a general macroeconomic perspective, which became more uncertain, but also due to the rollout of our new set of rules and regulations. These new rules and regulations were designed to address the important role of FinTech in supporting economic growth, while at the same time safeguarding users from undue financial risk and protecting them from new threats, such as consumer privacy and security.  The general nature of our business model is one that is highly scalable and allows us to be nimble on a very asset-light model with low risk fundamentals. We took several preemptive measures to not only prepare our business to face the aforementioned challenges, but to continue differentiating ourselves in the marketplace and better positioning and prepare ourselves for growth.  Let me outline three key steps we took in 2019 and will continue to deploy in 2020. Number one, digital transformation. With our industry expertise, proprietary technology and deep data insights as well as experienced team, we are well positioned to capitalize on opportunities in the digital financial services market. Our data science, modeling capability, artificial intelligence empower us to provide digitalized solutions, customized for varying specific needs, and therefore, empowering banks and other licensed financial service providers to implement digital technology. Particularly during the outbreak of the coronavirus, we heard more from our banking partners who want to accelerate their implementation of digital strategy serving their customers online and remotely.  Number two, new business initiatives. We are heavily investing in innovation and new initiatives to drive growth. For example, we are pleased to announce that we have successfully secured brokerage license for insurance products, which will pave the way for us to expand financial product coverage, enrich product offering and provide more financial choices through our users’ financial lifecycle. This is an exciting new area for us and we look forward to updating you on this progress in the coming quarters.  Number three, operating efficiency enhancement and cost optimization. Starting from Q3 2019, we ramped up our cost cutting initiatives in order to drive operational efficiencies in our business. Specifically, we made progress with respect to marketing efficiency improvement and productivity enhancement. While regulatory changes in 2019 continued to tightening the overall credit environment, regulators have been working to establish a comprehensive and sustainable framework that will benefit industry and its participants in the long run. Aligning with these regulatory measures, as well as in response to the rising delinquency rates across the sector, financial service providers, including online lenders, have proactively reduced lower origination volumes beginning in the second half of 2019. We expect that clarifying the regulations, new retail finance and digital lending sector will help build an outlook and framework, which will increase consumer confidence and financial stability. In 2019, we ended with our core strength and fundamentals intact. But as a leading organization, we’re capable of going after growth opportunities from a fundamentally stable and robust position. Although, we had our share of challenges both operationally and financially in 2019, we found ways to thrive and differentiate ourselves from other FinTech companies that carried more risks. One of our financial highlights includes net margin turnaround at 7 percentage points, as a result of our efforts to improve efficiency and optimize cost structure, maintaining a strong balance sheet to provide ample resources to support our business. While we are observing additional liquidity coming to the economy and the financial market, we should be able to scale more quickly because of the strength and the network effect of our business model, and consequently benefit from positive marketing trend in the future. Despite the liquidity tightening sale across the board, our credit card recommendation business continues to gain market share, revenue increased 6.5% sequentially. In Q4, we added premier banks to our credit card business -- to our business partnership network, bringing the total number of banks in the network to 30 at year-end. In addition to continuous efforts made to expand our number of bank partners, we also are deepening our collaborative relationships with existing banks in the network. The initiatives include product expansion from credit card to wealth management and deposits products and a deeper cooperation throughout the user lifecycle by leveraging our cutting edge technologies and operational expertise. With banks increasing their focus on the consumer finance industry in the new area of digitalization, such cooperation will enable banks to improve their risk management and technological capabilities, as well as bring us more monetization opportunities and fuel our future growth. Before closing, I'd like to speak about the COVID-19 situation and its impact on our operations. As everybody knows, the outbreak of coronavirus in January set in motion a series of ongoing developments that have caused and are causing immense economic disruption and personal suffering. Our hearts go out to all those on the frontline fighting COVID-19 and who have been impacted.  Our number one priority has always been the health and safety of our employees and we took decisions -- we took decisive actions early on. We tested working remotely before the Chinese New Year late January and enforced a full remote working environment on February 3rd. We are making operational adjustments to minimize the impact of COVID-19 pandemic and are pleased to report that as of last week over 90% of our employees have returned to work either remotely or on-site. We have roughly about 20% returning physically to our headquarter office. This has allowed us the ability to maintain continuity in serving our users, customers, partners, and pushing forward our business activities as much as possible.  We are continuing to closely monitor the evolving situation and make adjustments accordingly. We also realize that we are part of the fight as a corporate citizen, and have sourced and donated medical protective gears, masks through our network in China and overseas. While acknowledging the severity of current macroeconomic conditions, we believe the negative impact, global consumption and SME activities will be contained and relatively short lived, and that economic activities will rebound as soon as greater level of containments are realized. We are encouraged by the Central Bank's effort to inject more liquidity into the economy through a portfolio of monetary tools, including interest rate reductions, and increased credit facilities available to SMEs and consumers as well as other government initiatives. We expect the ramification of the COVID-19 pandemic to have an impact to our business and that this impact will be relatively short lived, as we have seen encouraging signs of early recovery in China.  In conclusion, 2020 presented us with a challenging start after the outbreak of coronavirus. Our business was partially suspended for over two months as financial service providers closed and people quarantined themselves at home. Until now, we still have limited access to taking care of our users, customers, partners and our business has been impacted and will take time -- take some time to make a full recovery. Encouragingly, our business volume as of last week has returned to around 60% of the weekly average in the fourth quarter, which demonstrated a healthy and stable trend of recovery. In addition to COVID-19, we’re monitoring other factors which may impact our business, including the evolving situation from last year's regulatory change. Overall, the stimulus measures on consumptions conducted by the authorities, and their support to grow the economy will bring us more growth opportunities in the future. The strengthened regulatory framework now in phase is set to support healthy and sustainable growth in the digital financial services market for the foreseeable future. We are optimistic about our long-term growth prospects. We actively embrace these changes and have strong confidence in our fundamentals, including our team, our technology as well as our business model which is inherently more scalable and carries less risk, allowing us to be more prepared and better positioned for full recovery and new growth opportunities in the future.  With that, I'll now turn the call over to our CFO, Oscar Chen, who will discuss our financial results.
Yilü Chen: Thank you, David, and hello, everyone. Our fourth quarter 2019 performance demonstrated the results of our continuing efforts to optimize business and improve operating efficiencies. In spite of tightening credit across the board, the number of credit cards issued on our platform through our channels hit 7 million for the full year, a market share gain, further demonstrating our strong competitive strength in the market. The proactive cost optimization measures we introduced in the third quarter began to take hold in this quarter. Sales and marketing expenses as a percentage of total revenue increased by 11 percentage points compared with the third quarter. The impact from optimization programs regarding [projects] have also started to kick-in in this quarter. Such measures consequently contribute to a non-GAAP adjusted net margin sequential improvement of over 7 percentage points. We are pleased with the results out of our optimization efforts, which gives testimony to the ongoing resiliency of our platform in the midst of a volatile operating environment, and challenging macroeconomic conditions. At the same time, we continue to deliver our strategy to balance growth and efficiencies. The cost and expenses include certain upfront investments for our new growth in -- new business initiatives. The expenses incurred in this area were around RMB26 million in the fourth quarter and around [RMB51 million] for the full year. The management strongly believes that this investment will fuel our future growth and create shareholder value in the long run. For the first quarter, we recorded total revenue of approximately RMB290 million, exceeding the high end of our guidance by over 10%. Non-GAAP adjusted net loss narrowed sequentially by around 32% to approximately RMB69 million from a loss of -- a net loss of RMB101 million in the previous quarter.  Total revenues for the fourth quarter of 2019 decreased by 61% year-over-year and 10% quarter-over-quarter. Such trend fairly reflects the credit tightening across the board and the impact of evolving industry dynamics, which lead to the decrease of number of financial products available on our platform. In addition, the company proactively scaled back certain advertising business given the lower efficiency and the challenging macroeconomic environment. Gross margin remained stable at 90.8% in the fourth quarter compared with 91.7% in the third quarter of 2019 and 90.9% in the same period of 2018. Along with certain cost optimization initiatives to improve or building efficiency and productivity launched in the third quarter 2019, the total operating expenses in a non-GAAP measure seeing a declining trend. Sales and marketing expenses decreased by 51% to RMB259 million year-over-year. R&D expenses decreased by 41% to RMB48.8 million. G&A expenses was RMB25 million.  Some cost cutting measures may have lagging effect, which is expected to continuously benefit our operation in 2020. As a result, non-GAAP adjusted net loss, which excludes share-based compensation, was RMB69 million in the fourth quarter. At the same time, non-GAAP adjusted EBITDA was a loss of RMB63 million. As of December 31, 2019, we maintained a strong balance sheet with cash and other equivalent liquidity of RMB1,069 million and working capital of approximately RMB947 million.  And now on to our outlook for the first quarter. As David mentioned, we have ample resources to successfully run and grow our business for the long-term. However, the first quarter is going to be a challenging quarter due to the outbreak of coronavirus, but we believe the situation has started to recover. For the first quarter we expect our business to be impacted by the outbreak of coronavirus, as well as seasonality. In spite of huge uncertainties, we have encouragingly observed some early indicators of recovery. Based on our current estimates, we expect total revenue for the first quarter of 2020 to be in the range of approximately on the RMB130 million to RMB140 million. We believe opportunities go alongside the challenges and the impact from the COVID-19 outbreak will be short-term in nature and remain optimistic about the robust long-term prospects of our growth.  With that, I will conclude our prepared remarks. We will now open the call to questions.  Operator, please go -- please kindly go ahead. 
Operator: Yes, yes, thank you. We will now begin the question-and-answer session. [Operator Instructions]. And the first question comes from John Cai with Morgan Stanley.
John Cai: So I have three questions. The first one is on the recovery trend that we are seeing. So maybe the management can share more colors on the breakdown of the recovery in terms of the loan applications and credit card recommendations and advertising. Just want to see the segment breakdown? And also we mentioned that last week it’s roughly about 60% of the normal term volume. So how long does it take for us to maybe expect 80% to 100% recovery, maybe in the second quarter or maybe later? Just want some colors on the potential recovery trajectory.  So the second question is about new initiative. I think particularly on deepening our cooperation with current partners, I think it’s two parter. First one is, we mentioned about rising demand from funding partner to accelerate digital transformation. Just wonder is there any more details on, what type of co-operations are they looking forward to with us? And also is about the competition of this cooperation. Do we see -- what is the competitive landscape? I think there are plenty maybe tech giants are trying to work with the banks on the digital transformation.  So the final question is on cost. Just wonder how much room for us to [Technical Difficulty] 
Yilü Chen: For this first quarter, we are -- because of the outbreak of coronavirus such kind of period of -- in which our business was partly suspended has been expanded more than double or close to triple. That's how we set expectation for our first quarter guidance. In the sense of recovery trend by category, now I think, the overall -- the weekly volume is around 60% benchmark to the weekly average in the fourth quarter 2019. So, we -- by category, I think the credit card is ahead of average volume recovery and loan is a bit behind but not that much. I think the overall range well between 50% to 70% by category respectively.  So, yes, regarding your second half of the question about when we expect to recover to the 80% to 100%, I think we are optimistic about the recovery in the long run. But for the -- but we have to expect -- it's a bit early to expect this and to estimate at the current stage. What I can say is that in the first quarter, the lowest weekly we are seeing the business volume on overall -- the overall business volume is around 30%, 40% of the normal. Now we climbed back to around 60% and we continue to see week-over-week recovery. For now, the 60% is as of the latest week data we observed. So, yes, I think probably we can be -- we can have a full -- so called a full recovery into the second quarter. But it depends on how we recovered from the COVID-19 outbreak. So probably it will be something close to the April end, or May end. It's something we cannot control. I hope this answers your question, yes.
Daqing Ye: Oscar, I’d just add more thing about the recovery timing. So, John, from our perspective, our team are prepared, our technological solutions are prepared. Keep in mind we just started -- the folks just started returning back to the office last Monday, it’s only a week. We have 60% floor volume that’s on productivity, right? But there are other factors beyond our control. For example, the Beijing municipal guideline, timing, floor -- like productivity. So right now we have 50% to -- only 50% of the people coming to the office, right? And also our premise, our financial premise are actually based pretty much like all over the country, given the city -- given the rules in terms of companies or institutions can completely go back to work. So we do rely on the schedule or timing of our partners. So -- and also the other factors impacted it as well. So, I’ve kind of -- we have discussed. We have seen some data -- we've seen in like week-over-week, we're kicking up our productivity like rough 10%, up two or three weeks. We expect this trend continues. However, I mean given the large global macro situation, we still believe mid or late second quarter, around June would be a realistic timeline we would talk as of today. But of course, the situation will change, almost on a weekly, if not a daily basis. So have kicked most of that. So we are seeing some conservative approach in terms of going back to work. You asked something with that first -- third question, yes, please go ahead. 
Yilü Chen: Yes, John, yes, to your third question about the cost initiatives and any other -- any further room for us to improve the efficiency. Firstly, I think our own initiatives is in both ways to improve the efficiency and at the same time to cut the cost. So, from the efficiency perspective, so we focus on the efficiencies of our marketing dollars spent. So, we are seeing a clear trend. In the fourth quarter we improved our ROI of the sales of marketing. Although, we -- in terms of top-line, it's still -- sequentially, it's downwards trend. But we managed our business better and improved sales and marketing efficiencies. So we will keep doing that.  So, for 2020, I think we still have the room to improve the sales and marketing efficiencies throughout the year. But again it depends on when the business is fully recovered, and we have the -- we can have the scale back. So now our target is to improve the sales and marketing efficiencies back to the level of 2018, that's around 130 ROI we actually for the full year 2018. We're trying to achieve around that.  And also in terms of the cost cutting, particularly, we did some cost optimization in terms to improve our productivity per head. So in the -- from the third quarter to fourth quarter last year we cut off headcount by around 20% plus. But at the same time, we incurred some -- and plus [Wuhan] compensation for such kind of cost cutting. So there will be some lagging effects, which will benefit our operation in 2020.  So -- and we also have some small initiatives, including optimize the usage of server and bandwidth, adjust our office space according to our new headcount and new plant. That will benefit the cost structure for 2020.  Yes, I think that's your question first and third question for the new growth initiatives. David, do you want to comment on the first?
Daqing Ye: Yes. Hi. John. I believe your second question is about initiatives and most exclusively about type of partnership and competition et cetera. I mainly layout our trend for new initiatives. I mean we have been working in the last couple of quarters. I mean we look at the new opportunities and new initiatives in three dimensions. The first one is, expand into new verticals and new financial products. We want to enrich our user or consumer unless they’re made financialized. They may have tried a loan before, they might are also able to consider insurance products or maybe not to get credit or there’s no need to round. That expands the new financial verticals.  And the second dimension, also we mentioned the -- is like the emerging market. We had some -- we're doing lots of tests in South Asia, that’s in Asia, India. We have some testing in Hong Kong. So it’s tests, tests, tests. We have teams on the ground in the last few quarters who are making good progress, of course setting a team, get a license, working with the local regulators. So it's trying new tests as well, right, and also in all the good market we are also being impacted by coronavirus situation. So those markets covering before the virus spreading curve, right? It's coming, so we will see that probably a little slow down as well.  The third dimension, we actually -- we are working with the financial institutions. We've mentioned briefly the digital transformation. So we actually in the past -- we've always been a pyramid to enable financial institutions to increase their digital marketing capabilities, risk management, leveraging AI big data and the modeling to build and enhance their online and financial decisions. So we have been very proactive and we are prepared for this. And recently the coronavirus situation actually forced financial institutions to serve the customer and approve their loan and taking care of the customer online. So, the digital banking or digital lending was nice to have before the coronavirus situation. Starting from this year -- this quarter it’s going to be a necessity for banks.  I want to give you a few examples of type of partners we have. We have one of the big five Chinese banks. We were the credit card partner generating credit card approval before. Now they’ve started working with us to help to build risk model for their non-secured credit portfolio. That's one of the top five banks. And we also have a joint listed bank, that's one of the top 10 banks in China. They build online decisioning with instant approval engine. In the past we didn't work well -- during this corona situation. Now we need to make almost instant decisions within 60 seconds. We were not able to do that before. So behind the scenes there's data collection, like screening, like risk enhancement and digital marketing and also some of the IT solutions.  So we were part of -- we actually won a bid, one competitive bid last quarter, in Q4 2019. This quarter we started implementing this type of initiative. And smaller banks, we have smaller rural commercial banks -- with rural commercial bank Zhejiang province. Their challenge is to build the end-to-end online mobile capabilities from the end-to-end. It's a relatively big rural commercial bank, it's not a national, it’s regional but they need more help. It looks like they need more help compared to big five bank or even larger to join us their own bank.  So, that type of customers or partners, maybe institutions we’re partnering with. I would say, we're working with over 2,000 financial institutions in China. We do expect that digital transformation project across the board in terms of type of managed institution, geographical coverage and the type of licenses. So that's the market space.  In terms of the competition, I would say that the market -- the overall market of digital transformation, online decisioning, software-as-a-service solution, analytical solution in China is still in early stage. We do see a lot of players. They may be a niche player focused on data or modeling or based -- or just providing IT solutions, most remain focusing on just a few clients, but our strength has the largest online platform serving more financial institutions, the other single player.  Number one, we have been working with those banks for 5, 6, 7, almost 8 years, right? We may have built relationships with one of their credit card or SME loan, right. We're able to expand our service to different units, different group within the same financial institution. We launched our lead generation or digital marketing service a few years ago. Now we are extending that more in-depth into more technological driven or data driven, or analytical driven decision-based service. So that’s the way we go. Does that answer your question, John? 
Operator: [Operator Instructions]. And the next question comes from Julie Hou with UBS.
Julie Hou: Good morning, David and Oscar. Thank you for taking my questions. I have three questions. First, from your observations, what kind of financial service providers are mostly hit by COVID-19 at least here in February and how about the recovery rate versus pre-Chinese New Year holiday or versus January for the financial service providers? And the second question is on the cost side, did you get any city or credit fixed costs such as rent cuts from landlords, or delay in social contribution payments? Just want to get a sense of how much cost you could save from this perspective? And the third question is a follow-up question on new initiatives. When do you expect to contribute meaningful revenue from these new initiatives? Thank you.
Yilü Chen: Thank you, Julie. Let me answer, yes, part of the question. So I think regarding the -- your first question, what type of financial service providers are most impacted in the coronavirus outbreak. From our view, it's volume decrease across the board from the -- as we observed in the coronavirus outbreak. But as David mentioned, so for the financial service providers with some -- with certain online capabilities, so they can still reach out to the consumers and provide services and do online acquisition and online decisioning.  Although the volume also decreased, but they can still serve their customers. I think the volume decrease is I think mainly driven by less activities during the Chinese New Year and then the outbreak of the coronavirus, and also probably the trend of rising delinquency make the financial service providers further tighten their credit policy. But for the financial service providers whose capacity is most offline, I think they will be more impacted during the coronavirus outbreak, because of the people quarantine, people -- cannot meet people in person. So, the service probably cannot be delivered in person. This kind of financial services providers maybe more impacted during the coronavirus outbreak. Yes, I think this is to your first question.  Your second question about the cost saving. You talked about the rental and you talked about the delay of the social security fund payment, something. So we -- for the rental, so we already adjusted our office space. So the rental impact will -- I think we will have some rental benefit from the office space cuts in 2020. But that's -- the rental part is a very small percentage in terms of total cost and expenses. For the delay of the social security fund or other charges by the government, yes, we acknowledged policy published by the local governments like in Beijing and in some other cities. Our intra-department is exploring this with the local -- let’s say the labor bureau or some other authorities who are in-charge of this. So, we have to have quantify the overall cost of savings in this regard. As we have the clear picture, we can report back.  I think for the -- yes, your third question is about the new initiatives. We are pleased to say for the new initiatives of geographic expansion, and also category expansion, as David mentioned before. All these new initiatives have generated revenue in the fourth quarter last year but it's not significant. And now our new business and existing business both were impacted by the coronavirus outbreak. So, I think when we come into the -- in the coming quarters, when we have something significant, we can share with you and also the investors. David, I'm not sure whether you have anything to add.
Daqing Ye: Yes, you pretty much covered everything. Just one more, just a comment about your first question, what type of financial institutions recovers faster. And we are working more in every kind of the -- type of financial products like tool, products, financial products, needed KYC face-to-face, like mortgage, or some of the commercial, need to sign face-to-face. Of course, that’s clearly the slow recovery across the board for all banks. That's pretty much the regulatory kind of requirement, the KYC face-to-face. And we have seen like the credit card business recover a few weeks back. Keep in mind that most of the -- the majority of the country is still partially locked down, right, or partially back to work, right? We see even in Beijing and Shanghai, or in Shenzhen, Guangzhou, they all enforced quarantine or lockdown in policy differently.  So we do find some nice recovery for some of the digitally capable or more powerful banks who have invested heavily in the last few weeks. We are able to launch or reveal their monthly credit portfolio factors, right? We probably have sourced online where people can use us. Now we're getting more and more calls -- we are getting more calls to open your own [indiscernible] if you're able to quickly identify consumers online. We continue to scale online. We don't take phone calls, we don't go that bridge, right. When you're able to serve them, approve them, providing financial products and then you are actually then a leader. So that's why the lockdown situation pushed and forced the financial institutions to go digital, go mobile, go data driven, go online decisioning. So that's a wakeup call for some -- behind some banks who have been talking about the digital transformation but haven't done anything yet. Now, it's their chance.
Operator: Thank you. And as there no more questions at the present hour, I would like to return the floor to management for any closing comments.
Liting Lu: Okay. Thank you once again for joining us today. If you have any further questions, please contact us as at ir@rong360.com or TPG Investor Relations. Thank you for your attention and we hope you'll have a wonderful day. 
Operator: Thank you. The conference call has now concluded. Thank you for attending today's presentation. You may now disconnect your lines.